Operator: Good morning, ladies and gentlemen, and welcome to the Bombardier Third Quarter 2022 Financial Results Conference Call. Please be advised that this call is being recorded. At this time, I'd like to turn the discussion over to Mr. Francis Richer de La Fleche, Vice President FP&A and Investor Relations for Bombardier. Please go ahead, Mr. Richer de La Fleche.
Francis Richer de La Fleche: Good morning, everyone, and welcome to Bombardier's earnings call for the third quarter ended September 30, 2022. I wish to remind you that during the course of this call, we may make projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions please refer to the MD&A. I'm making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Eric Martel; and our Executive Vice President and Chief Financial Officer, Bart Demosky to review our operations and financial results for the third quarter of 2022. I would now like to turn over the discussion to Eric.
Eric Martel: [Foreign Language] Good morning, everyone. And you need to know that I'm speaking to you today from Miami, Florida, where we have just finished a very successful week. We inaugurated the latest addition to our service network, a brand new ultra-modern service center. This is one of the key pillars to our aftermarket growth strategy. I'll speak to how this event marked a key milestone in our expansion in a moment, because it illustrates the types of initiatives we have put in place to deliver service revenue growth. But first I wanted to reflect on the month that just passed. The center opening came at the end of a busy October. We introduced an innovative new interior option for the Global 7,500 and Global 8,000 called the executive cabin, which was very well received by corporate customers. Finally, we made one of the biggest commitment in business aviation to sustainable fuels. Sustainability is at the heart of all discussion when it comes to business aviation and the future. This is why we took the bold and decisive step to transition all of our flight operation to SAF. Yes, we pay a slight premium to do so, but it is well worth the 25% annual net carbon emission reduction that will come with it. We have found a capable partner in Signature Aviation to help us on this journey. For anyone saying that we need higher demand before broader SAF production can begin, let me make it clear the man is here and companies like Bombardier are signing the cheque when it comes to preserving our future. We are all very passionate about this topic within our company and I can talk about it all morning. But first let's get to third quarter results as I'm also eager to show how well the team performed in the context of our greater plan. When we began Bombardier's journey as a company focused on business jet, you heard me repeat that we were going to focus on building backlog and remaining disciplined. We have just - we have done just that and that's why I can confidentially tell you today that we are well equipped to face any market condition that we will be ahead - that will be ahead of us. I'm even prouder to say that the fundamentals you will see in our Q3 results, things like liquidity, free cash flow, profitability, our debt management have all showed that the foundation for how we expect to perform in 2025 has been firmly set. First, let me start with depth. Simply put, we have less of it. We have less cost associated with it and we receive another credit rating upgrade since we last spoke in August. This time from S&P upgrading us to B- with a stable outlook. Bart's team has done an excellent job managing maturities and setting us up for success. Bart will speak to some of this in detail shortly, but being able to pay $100 million back during a quarter that is traditionally lied on deliveries due to seasonality to me is very noteworthy. Overall, we are on track to deliver more than 120 jet this year. We saw a healthy and stable $1.5 billion in revenue in Q3 and I would like to particularly highlight the contribution from our service business. We grew by 20% year-over-year. A portion of this can for sure be attributed to flight hours continuing to increase, but we are starting to see the benefits of our newly built or expanded facilities coming online. The team has kept all these complex project on track through the pandemic and we are ready for them to continue to you to give us tailwind as customers continue to choose to bring their jets home to the OEM. We have also seen very positive feedback on the market acceptance on our certified pre-owned offering. Each aircraft is carefully cared for - by Bombardier expert who create a product that is very appealing. And they've been on average selling 50% faster that auto jet, helping keep our inventories at good levels and balance sheet clean in turn. This is a margin accreditive business and we will keep steadily progressing once again with discipline. When it comes to the market as a whole, we have seen activity stabilize after a huge surge the past quarters and we are reaching what I would call a cruising altitude of round one on our book-to-bill going forward. This is ride where we want to be to maintain a good balance of operational predictability and aircraft availability. We now have the luxury of looking to the future with a $15 billion backlog to work with and can continue to make prudent and disciplined decision when it comes to production to continue protecting pricing. When it comes to macroeconomic factors, we see a lot of varying prediction on what the coming months and year will bring. But remember that we've have gained some upside this year, especially on free cash flow, where we ended at [indiscernible] million for the quarter and are well on track to meet the guidance we raised just last August. We have further given ourselves flexibility by securing a revolver facility that Bart will detail shortly. All in all, we are well positioned to maintain our growth curve steadily as outlined in our Investor Day this year towards 2025. If you look at Bombardier's Q3 adjusted EBITDA, it's another encouraging statistics that boils down to execution. It rose $210 million which represents a 48% year-over-year improvement. With an adjusted EBITDA margin of 14.4%, we are in a great place and are seeing our hard work on the Global 7500 learning curve mature, we are seeing service contribution growth and finalizing and implementing recurring savings initiatives. I do want to reiterate that when it comes to capital allocation debt reduction remains our top priority. When you factor our restricted cash, which we expect to have access to early next year, we are already at $4.5 billion of adjusted net debt which we initially thought we would reach in 2025. We are well ahead of schedule. In regards to supply chain, we have a good visibility on what we have to achieve to meet our commitment. This includes our planned 15% to 20% production increase next year which we have previously discussed together. Our teams continue to be deployed around the world to identify and mitigate risks. It is not without its challenges. But bold and decisive moves to bring work in house continue to pay off for us in terms of stabilizing our products. I am very proud of our performance. Looking at our balance sheet, it reflects the vision we set out for our company and we have demonstrated we can perform. I'll now hand it over to Bart to dive deeper into the detail.
Bart Demosky: Thank you, Eric, and good morning, everyone. This is certainly an exciting time for Bombardier. When I look at the state of our business, I feel very good about how we've performed to date and I feel equally good about the road ahead. Again in Q3 we had an outstanding quarter on many fronts. First, from a product and market standpoint, we continue to lead the industry and drive innovation as demonstrated by the announcements of our groundbreaking sustainable aviation fuel strategy and the three zone executive cabin option on our Global 7500 and 8000 platforms. We took another major step forward this quarter towards achieving our long-term liquidity objectives through the establishment of our inaugural syndicated revolving credit facility. This $300 million secured facility when combined with our greater than $1.7 billion of adjusted liquidity puts us it more than $2 billion in pro forma liquidity. Our new revolver is a five-year committed facility, and as I said, of up to $300 million to be secured by working capital collateral. We have been working on this for some time and I would like to thank all the teams involved as well as our banking syndicate. This is an important step in continuing to strengthen our financial position and speaks to the work we have accomplished over the past two years. Continuing with our balance sheet, we have remained active on debt management since our last earnings call, having repaid an incremental $100 million of our bonds through open market repurchases. Our gross debt has now been reduced to $6.2 billion and we are now approaching annualized savings of $300 million in cash interest via our debt reduction activities compared with December of 2020. As Eric said earlier, we have already reached our 2025 objectives in terms of net debt. We have over $2 billion of pro forma liquidity, including restricted cash soon to be returned to us versus $6.2 billion of gross debt. So we are not done here and we expect to continue being active and opportunistic on our debt repayments in the coming quarters. Operationally, we delivered very strong results in the quarter. We continue to execute on our strategic priorities as planned and I am particularly pleased with the pace of growth in our aftermarket business where revenues are up 20% year-over-year. Our margins also continue to improve as exemplified by our 460 basis point year-over-year adjusted EBITDA margin expansion, contributing to our sixth straight quarter of positive free cash flow and putting us on track to deliver our full-year guidance across all metrics. Finally, our backlog continues to grow. After having another strong 1.3 times book-to-bill in Q3, our backlog now stands at $15 billion [technical difficulty] and aftermarket. This represents a 34% year-over-year increase and gives us plenty of visibility and predictability into our 2023 top line and financial performance. So, with that, let's move on to our Q3 results. Our revenues for the quarter stood at $1.5 billion resulting from 25 aircraft deliveries and $372 million in aftermarket revenues. Our manufacturing and other revenues were 5% lower year-over-year, mainly due to two fewer large aircraft deliveries. In line with our expectations and production schedules. Meanwhile, our aftermarket revenues saw a 20% growth year-over-year from $310 million in '21 to $372 million this year and represented 26% of our overall revenues in the third quarter. This is supported by growth in flight hours as well as execution of our expansion strategy to gain market share. With our Miami facility inaugurated this week and the earlier openings of Australia, London and Singapore, we now have the required footprint to deliver our 2025 growth objectives. We will be aggressively ramping up these facilities over the next 12 to 18 months. We had a very impressive quarter in terms of profitability. Our adjusted EBITDA of $210 million is an increase of 48% year-over-year. Even more impressive is our EBITDA margins, which rose 460 basis points to 14.4% versus 9.8% a year earlier. This margin expansion clearly demonstrates that our plan is working to significantly increase our profitability without the need for large increases in aircraft deliveries. Free cash flow was also strong coming in at $52 million and bringing our year-to-date cash generation to $566 million. Our working capital for the quarter was relatively neutral with higher inventories tied to our planned rate increases essentially offset by an increase in customer advances as well as an increase in our accounts payable balance. Looking at the last months of this year, we are in a great place entering Q4 and we are absolutely on track to meet or exceed our 2022 full-year guidance. We continue to expect deliveries of greater than 120 aircraft for the full year. With 74 aircraft delivered in the first three quarters, we expect a strong output of at least seven deliveries in Q4. With deliveries in line with our expectations and aftermarket continuing to perform, we fully expect to meet our revenue and profitability objectives though Q4 adjusted EBITDA margin percentage should retract a bit versus Q3 as new aircraft is expected to have a larger share of the revenue mix versus aftermarket. Free cash flow has already met the revised guidance we provided in August and we expect to be cash positive in Q4. So, in conclusion, Bombardier continues to deliver on its commitments and is well prepared to manage through potential volatility. We are focusing on the things that we can control and are confident we will continue to see upside to our financial performance in the future. Thank you very much. With that, let me turn it over to Francis to begin the Q&A.
Francis Richer de La Fleche: Thanks, Bart. I'd like to remind you that the Bombardier Investor Relations team is available following the call and in the coming days to answer any questions you may have. With that, we'll open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Noah Poponak from Goldman Sachs. Please go ahead.
Noah Poponak: Hi. Good morning, everyone. I wondered, now that we're approaching the end of 2022 here and you have the degree of backlog and visibility that you do, if you might just refresh us on how you plan to load the delivery profile over the medium term.
Eric Martel: So, probably definitely for Q4, we are in a solid position. I would say, we have pretty much everything under the roof of our facility right now to be capable of delivering what we said we are going to do greater than [indiscernible] reach on both side. And about next year I think we've reiterated earlier in a few weeks ago that we were still aiming for 15% to 20% increase in terms of delivery. So, despite all the challenges that the supply chain is offering, we've been extremely proactive for the last two years and a half managing the situation and we are looking forward with that confidence in terms of our deliveries.
Noah Poponak: Okay. Eric, you mentioned you mentioned kind of landing around book-to-bill of one and I'm sort of trying to map out where the bookings go from here versus the revenue. If I take the bookings in the quarter and annualize that that would approximately equate the manufacturing or the new aircraft revenue for the year. So, you would therefore need to grow bookings from the level they landed at in the third quarter to keep the book-to-bill at one as you grow production. And so, is that correct? And I guess, how much visibility do you have at this point into the future bookings. You've extended backlog and gain visibility into production. But do you know how a customer set that plans further in advance and gives you more visibility on that front-end of the process as well?
Eric Martel: No, we clearly have some of our customers that are planning more ahead even then what the booking we have today. So, some especially fleet operator will have conversation about '25 and '26 and even further. In terms of - we are being prudent going into, when we forecast the future, especially starting next year, we are planning for a book-to-bill of 1. That's what we've been thinking of. So, [technical difficulty] that we do have today which is close to two years, pretty much on all platform. So, we're in a very good place. This gives us the confidence that if we maintain a book-to-bill of 1, we'll preserve the backlog that we have today. But also when I say that, we are ready to face any situation ahead of us is that if we would have a book to be lower than 1, because there's a major recession going into next year, then we would probably use some of the backlog, okay. But make an assumption that we may let's say it's just an hypothesis here at 0.75, then you would lose probably three months of the two years, so which is still pretty good and gives you the visibility you need to manage the business with confidence and predictability.
Noah Poponak: Okay. Thanks very much.
Eric Martel: Thank you.
Bart Demosky: Thanks, Noah.
Eric Martel: Thank, Noah. Thank you.
Operator: Thank you. Our following question is from Walter Spracklin from RBC Capital Markets. Please go ahead.
Walter Spracklin: Yes, thanks very much. Good morning, everyone, and congrats on a good quarter. I want to zero in on the certified pre-owned market. I know you covered this a lot Eric on NBAA. But this is a really interesting opportunity and correct me if I'm wrong. I mean, this has been made possible by your investment in the aftermarket and the footprint that you've created, hangar space that you've created with that investment is now giving you the opportunity to go into a market that you couldn't address before. And I'm just curious, what level of revenue opportunity are you targeting here. You mentioned margin accretive and particularly what time frame do you think you could ramp-up to that level of - at whatever market addressing - whatever addressable market you're targeting how quickly could you get to that level.
Eric Martel: Thanks Walter for the question. I think you're aware, if I talk about the business a bit that we're creating here. First of all, it's important to note that we have 5,000 airplanes flying out there, so which creates an opportunity, an enormous opportunity, and we know from history and even during this - during the pandemic, there was around 400 airplane of Bombardier every year that are involved in a transaction. So, from those 400 pre-owned transaction and then to capture a fair market share of those by bringing these airplane to us and you're absolutely right highlighting that today having additional capacity we added a million square foot this year to our facility in service, we are giving ourselves the ability to bring these airplanes and as an OEM refresh the interior, put a new avionic and basically take these airplane after, I don't know, 15 years or 20 years or 10 years they have been in service, refresh them and put them back on the market, because these airplane have a long life cycle. So, we are uniquely positioned to offer that significant value to customer. So I'm not going to state a percentage, but think about a market of 400 airplane a year that are transit - that are involved in a transaction and we intend to take a market share of those transaction. So, this is a - this brings us strong margin contribution. We launched a program, as you know, about 18 months ago now in July 2021 and we're starting to reach today double-digit deliveries. So that's a nice indicator. But so we are well positioned. We do believe in that business. We're going to continue to grow that business. We have the capability to do so and that's how we're thinking about.
Walter Spracklin: Yes. That's great. A follow-up question here is on cash flow. This one is for Bart. Obviously, you hit your free cash flow guide, your multi-year free cash flow guide for 2025 in year one. You kind of indicated when you raised your guidance last time that, look there was a lot of good events that happened this year that were - that helped you on that. Naturally, I think by maintaining your $500 million free cash flow guide for 2025, I think you're implicitly saying, okay, we had a bit of a windfall for this year, maybe go back down to some normalized level and then back up to 2025 on a more sustainable level. But my question I guess is; a, the things that allowed you to get that free cash flow benefit this year won't a lot of those factors be in play going into next year as well. And secondly, how soon, if that's happening, how soon could you hit your leverage target? If you're getting your 2025 free cash flow target well under events, how much sooner do you see yourself as being able to achieve your leverage target, you're 2025 leverage target?
Bart Demosky: Yes. Great questions Walter. And so let me just start by saying, we've been quite aggressive on our debt reduction plans and strategies to date. We're well ahead and I'll give you a couple of metrics here in a moment on our debt reduction plan. And you're right, the market dynamics certainly helped accelerate our debt reduction relative to the original targets that we produce provided to the market about a year and a half ago, just over a year and a half ago. Proud to say that we have reimbursed almost $900 million of debt today from cash generated from the business, which is the most important thing. I mentioned last quarter that we believe we've now reached a place where we will be cash flow positive at 1.0 book-to-bill quarter-over-quarter going forward. Obviously, we can do better than that as our earnings continued to grow, because the earnings growth is primarily coming from the things that we control, taking cost out and growing our aftermarket business. In terms of the 2025 objectives, we had said that we wanted to get to $1.5 billion of EBITDA and $4.5 billion of gross debt, sorry, net debt, in order to have a 3x debt to EBITDA. We have already achieved the $4.5 billion of net debt this quarter. $6.2 billion of net, sorry, of gross debt less about $1.4 billion of cash on hand, $400 million of restricted cash and $300 million of the new revolver in place for us. So, we have liquidity now in excess of $2 billion. So, we've already achieved in fact exceeded our 2025 target. So, the expectations for us from here with higher deliveries coming, as Eric mentioned, next year and continued progress on all of the, not only EBITDA, but cash flow improvement activities that are underway right now that will, in all likelihood, well exceed our 2025 targets by '25. And to be clear, the $500 million of free cash flow target that we set for '25, the actual target is much higher than that. We highlighted this in our Investor Day in March of this year that when you think about a $1.5 billion of EBITDA less about $100 million of sustaining CapEx a year and I'll call it $400 million of interest costs annualized, that leaves us with a $1 billion of cash flow that we can put to work. So, we're very excited about what the future is bringing and particularly about how the balance sheet and the free cash flow is shaping up. Hopefully that helps, Walter.
Walter Spracklin: Yes, it does. Thanks very much and thanks for taking my question.
Bart Demosky: Perfect, thank you.
Eric Martel: Thank you, Walter.
Operator: Thank you. Our following question is from Myles Walton from Wolfe Research. Please go ahead.
Myles Walton: Thanks. Good morning. I was hoping you could drill down a little bit on the aftermarket enterprise, and in particular, I don't know if you can do this, but I'll ask the question. On a same-stores basis that is sort considering or taking aside the expansion of your aftermarket enterprise, you have a sense as to how much of the growth is being driven by transactional expansion versus square footage expansion. And broadly into '23 how much square footage expansion on a net basis would there be under a flat utilization criteria? Thanks.
Eric Martel: That's a great question. So, clearly, the aftermarket profitability is driven by part sales. And our strategy has, I think, has been coming into from one fold mainly was about having a presence and we are growing the market share of the entire availability. If you look at all the hours and maintenance and part sales possible on the 5,000 airplanes flying out there, we are basically growing. This year, we had, sorry, a one million square feet to our facility in order to bring more airplane and channel, more parts, of course, and that's how we are - we've been able to grow. We, as you know, this week - this year we've announced a 1 million, always looking at further opportunities. So, we are thinking about other region where we may do that. So, this is - you saw the result this morning. We grew by 20% year-over-year versus Q3. There is also the smart card program that is growing as we have a bigger installed base and most of our customer when airplane is new [indiscernible] the value of the program that's another area where we are growing also our presence. So, this program has been at Bombardier for many, many years, but it's been very successful in the last few years in terms of growing as people understand that it also helps the residual value of the product. So, labor is a conduct basically for incremental part sales and that's been our strategy and it's working extremely well. So, just to picture that's a little bit, we usually have an average number of airplane and that number of airplane since we've had the space the space has been fulfilled and - very rapidly. Meaning that there is a demand out there and that demand people like to come to the OEM. And on top of it, I think moving indicator as you know is clearly the flying hours. The fleet is today flying around 15% to 20% more hours than it was pre-COVID in 2019 if we compare pre-COVID. So, we are in a very good place. All the indicators are heading in the right place. And we do believe that we will achieve the target we have for growing that business.
Myles Walton: Okay. And Bart maybe just a quick one for you. With the $300 million revolver, does that point you to being comfortable carrying just $1.2 billion in cash versus the $1.5 billion I think you had a place over for previously?
Bart Demosky: Yes, Myles, thanks. Yes, you've got it right. The target for us for, I'll call it, liquidity on hand now, rather than just cash on hand, remains at about $1.5 billion. We've been staying pretty close to that and with the standby facility we now have in place committed facility. It's a five-year commitment of $300 million. That means we require less cash on hand to maintain that $1.5 billion. So, you're right, it's $1.2 billion plus $300 million that would be the general target we would carry forward from here.
Myles Walton: Thank you.
Bart Demosky: Okay. Thanks, Myles.
Eric Martel: Thank you.
Operator: Thank you. Our following question is from Konark Gupta from Scotiabank. Please go ahead.
Konark Gupta: Thanks, operator. Good morning, everyone. So, just wanted to dig into the inventory levels here Bart. I think Q3 inventories went up by more than $300 million sequentially from Q2. How much of that do you think could reverse in Q4? And are there any other notable cash flow items we should be mindful of in Q4?
Bart Demosky: Yes. We're - as you're probably aware Konark, and good morning and thanks for the question. As we're ramping up production to meet the higher delivery targets that we've set for '23 and probably beyond as well, but we'll come to that when we get to guidance, that requires us to build some inventory. So, you're definitely noticing that happening. In terms of free cash flow, Q4, we do expect to be positive in the quarter. We've got about $250 million of profit to go and get - to get our $825 million minimum for the quarter and we've made it clear that we expect to exceed that number. Interest costs just to kind of break it down for you here are about $170 million including debt and other lease accounting interests. And CapEx spend will be a bit greater in the fourth quarter than Q3, which was $70 million, but in line with our expectations, because we're continuing to build out our brand new world class production facility in Toronto. Working capital-wise inventory will decrease on stronger deliveries, but that's, as you would expect, I guess, with a strong delivery book in Q4, I mentioned at least 47 deliveries to some of that should be reversed and then ultimately the working capital will again be influenced by advances depending on how many new aircraft orders we get and where our book-to-bill lands. So, those are all kind of the key factors that will influence things in the fourth quarter and that's a lot of moving parts, but should be quite positive from what we're seeing.
Konark Gupta: That's great color, Bart. Thanks so much. And then just one quick follow-up on the leverage ratio. I noticed in your disclosure you guys say 5.5 times net debt to EBITDA I think and but obviously, I mean, if you look at the EBITDA, it's a trailing EBITDA which is not a true reflection of your kind of current operations. So, would you say your EBITDA margin today after baking in all the improvements you have achieved so far, notwithstanding the future improvements, would you say the EBITDA margin would be closer to 15% today for the operation.
Bart Demosky: I hate doing math on the run Konark. So, directionally, yes, it's probably a little bit higher. Trailing is about $800 million, just over $800 million I believe, $810 million trailing. So, yes, if you look at the greater than $825 million, it would be a bit higher as a margin. So, that is correct. And as we've outlined, we're looking to continue to grow. Margins have been improving year-over-year and we expect to continue - that would be a continuation from here. I did mentioned Q3 will be a little bit lighter just based on the significant delivery book that we have for the quarter.
Konark Gupta: That's good color. Sorry to put you on the spot here, but thanks for that.
Bart Demosky: No, no, no, that's okay Konark. All good. Thank you.
Operator: Thank you. Our following question is from Benoit Poirier, Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes. Good morning and congratulations for the good quarter. When we look at the quarter, we've seen SPAC IPO. So, I would be curious to know about the booking activity in Q4 and whether the SPAC IPO we've seen whether it will translate into strong booking activity and maybe if you could provide some color about the new entrants that you still seeing so far Q3, Q4.
Eric Martel: I think it's worth to note that we've seen quite a bit of consolidation on the fleet operator. I think in the last year or so you've seen acquisition. There has been a lot of small operator that got consolidated under the bigger one. And I think Benoit that this could be a trend moving forward also as everybody is looking for a capacity right now. Fleet operator, I've seen a huge surge in demand. So, they're looking for capacity to buy airplane, to operate airplane, to charter them. And I think the good news for Bombardier into this is that we are extremely, extremely well positioned with the biggest fleet operator. I'm thinking about Flexjet, VistaJet and Flexjet air and a few others. So, it's been, I've said that before, it's a fair percentage of our growth. They are happy with our product. Whatever if it's reliability, the performance of it our ability also to maintain their airplane. So all this to say that we are in a good place. But I think we have to anticipate that there will be probably further consolidation, which could be to our advantage.
Benoit Poirier: Okay, that's great color, Eric. And just as we add in 2023, I understand you believe out numbers so far, but how should we be thinking in terms of free cash flow expectation versus 2022. It looks like, obviously, there will be higher deliveries, higher EBITDA, but potentially software booking deliveries. So, without being precise, should we expect free cash flow to be up or potentially down versus 2022?
Bart Demosky: Hi, Benoit. It's Bart here. So, yes, look, we're going to stick to our guns and bring out our guidance in the first quarter of next year and we'll look forward to sharing it with you then. Okay, Benoit.
Benoit Poirier: Yes, perfect. Okay, thanks.
Bart Demosky: Okay, perfect. Thank you.
Eric Martel: Thank you, Benoit. Thank you.
Operator: Thank you. Our following question is from Cai von Rumohr from Cowen. Please go ahead.
Spencer Breitzke: This is Spencer Breitzke on for Cai. Thanks for taking the question. What impact should we expect on Bombardier's results from the U.S. dollar appreciating versus the Canadian dollar? Thank you.
Bart Demosky: Yes, Cai, thanks. As we do outlined in our financials kind of a sensitivity to each $0.01 move in the exchange rate. It's about a $15 million tailwind when the Canadian dollar is - the U.S. dollar strengthening against the Canadian dollar that's $15 million per $0.01. We have a hedging program in place. We've had it in place for many years. So, we do try to manage our currency exposure going forward. We do hedge a fairly considerable amount. So, while we expect to see some benefits starting in '23. It will move to a more full benefit of the stronger Canadian dollar starting in - beginning in 2024
Spencer Breitzke: Thank you.
Bart Demosky: Okay. Thank you, Spencer. Thanks.
Operator: Thank you. Our following question is from Tim James from TD Securities. Please go ahead.
Tim James: Thanks very much. Good morning. Thank you for taking my call. Just one question here for Eric I guess. I'm wondering if you can talk, it's little bit open-ended, but I'm curious to get your thoughts. As you look at 2023, what are - If you had to pick the two most significant kind of watch items for you in terms of risks as you enter 2023, thinking of the question just because the company is obviously the momentum is strong, you're executing, you're hitting your results and obviously there are kind of clouds on the horizon for many other industries. So, what are you thinking about or watching most closely as you go into 2023?
Eric Martel: I think it's a great question, Tim, and we're asking ourselves that question every day. The two that are definitely coming on top of mind is our geopolitical, okay. So clearly this could change, but I guess it's going to - it could change the world for Bombardier, but for everybody else probably. So I think this one is clearly a risk that we are all facing that is ahead of us. But despite this one this is one that we don't have much control. The other one that we have partially control is supply chain. But I think we took the step as I said earlier, we're going to be - we need to watch. There was quite a bit of shock induce in the supply chain in the last two years because of COVID and we are still created other situation. But anyway I think this is recovering slowly but surely. We are always watching if there's going to be further. But I think those are the two main one that are keeping us on our toes and making sure that we're going to be managing them proactively as much as we can, but those were the two that could have an impact, but still the supply chain we feel comfortable and that's why we are reiterating our 15% to 20% increase. The other one is, I would say, I think we can claim altogether that it's out of our control, but we'll see what happens there.
Tim James: Great. Thank you very much.
Eric Martel: Thank you.
Operator: Thank you. Our following question is from Stephen Trent from Citi. Please go ahead.
Stephen Trent: Good morning, gentlemen, and thanks very much for taking my question. Apologies if I missed it, but I was just curious if you could provide a little more color on what you're doing with sustainable aviation fuel, kind of what's the size of the investment and what sort of operational guide post should be - we'd be watching in the coming years. Thank you.
Eric Martel: Perfect. No, this is a great question and this is something that brings a lot of interest in my management team including myself. We've been extremely proactive on reducing our green gas house emission ourselves. First of all, we're looking at a 25% reduction from 2019 to 2025 within our company and we are well on our way to do that. We had - I think it was a bullish announcement we made to a couple of in Orlando about sustainable aviation fuel. So, we had just announced a partnership with Signature and basically Bombardier all our demo flight that we do for when we sell airplane all the test flight that we do when we either test new program or test on airplane because we've just built it all the certification flight will be running with SAF. And we have a very comprehensive program with Signature, which we call it book to claim, which is I like it because it's fair, it's pretty smart. It means sustainable fuel availability is always the challenge. Not every airport as sustainable fuel available, but what we're going to do is we're going to be paying a premium to put sustainable fuel. It doesn't mean it's going to go into our airplane, but somebody else close to a factory where they're producing the fuel will be putting it into another airplane. But so overall the benefits are there and you avoid transporting the fuel throughout all North America or Europe. So, I think it makes a lot of sense. That helps to reduce emissions and we were doing that. In terms of the investment, it's, I would say, it's not material. It is something we've put into our budget for next year. It doesn't change anything in the big scheme of thing, but we thought it was an investment that was worth to do as we are all facing a challenge that we all need to contribute to.
Stephen Trent: That's super helpful. Really appreciate that. And for my one follow-up, I was thinking about longer term it seems that you guys might get down to a relatively low financial leverage fairly quickly, any high level thoughts with respect to capital allocation whether you think about new products down the road or maybe another big investment in aftermarket. Thank you.
Eric Martel: I think that's a great question and clearly I think we've been extremely clear. Capital allocation priority today remains reducing debt and we will do that, continue to do that. And eventually you're right. In the long run we're going to have to think about a new program. We're going to have to decide first of all. But I think we as a management team has been - have been extremely disciplined and we would only launch a new program under certain conditions in terms of leverage ratio, cash availability, liquidity and I think that's going to be criteria number one. We will not launch a program if we don't have - if we haven't achieved these perimeter that we gave ourselves to do so. And of course there's other question that's come into play like availability of technology, of course, the market and everything in our ability to execute, but clearly the discipline that I think we've been showing as a management team for the last two years will also remain when it's going to be time to facing [technical difficulty] allocate our capital to reduce debt.
Stephen Trent: Super. And sorry to interrupt, but thank you very much for that.
Eric Martel: You're welcome. Thank you.
Operator: Thank you. Following question is from Chris Murray from ATB Capital Markets. Please go ahead.
Chris Murray: Yes, thanks. Good morning, folks. Bart, maybe this is one more for you. A couple of thoughts around just near-term debt repayment. I guess, first of all, we didn't see a tender offer for the $100 million. So, just wondering if you're actually buying stock back in the market or sorry bonds back in the market or if you've got, call it, a roster folks that'll back to you. And then if you can also provide us with a little more color around that restricted cash and timing and when do you think that it will become available to you that would be helpful.
Bart Demosky: Yes. Thanks, Chris. You're right. We - this past quarter we didn't come out with a formal publicly announced tender, instead we purchased - repurchased bonds in the market, in the open market through open market purchase activities. It was a very productive repurchasing of bonds. As you can imagine, there was quite a bit of volatility in all capital markets in the quarter, which gave us the opportunity to buy a $100 million of face value of notes back for less than that amount. So, it was a very productive repurchasing of bonds. So we're very pleased with being able to execute on that in the quarter. In terms of the roughly USD400 million of restricted cash that's out there right now. The letters of credit that that cash is supporting, they expire right towards the end of January of next year. So, that's the timing of when we would expect to receive that cash back.
Chris Murray: All right. And that cash I'm assuming once you've got it, you can use it for debt repayment or any other corporate purposes as you see fit, right?
Bart Demosky: Yes, absolutely. We will stick to our plan of trying to stay about $1.5 billion of liquidity now available and assuming that cash is excess. Certainly it could be used for debt repayment.
Chris Murray: Okay. And then just looking forward, just want to make sure on the timing. It sounds like at least from your indications you've opened I guess a few of the service centers. I think if I read it correctly in your note, you thought London should be kind of fully up maybe towards the end of this month or early in December. Any updates on timing on the Toronto facility and any thoughts on any additional capital need into next year or should it be fairly modest.
Eric Martel: No, I think everything is on track right now. So, we got - you're absolutely right. We're going to be officially announcing London in the next month and the facility has already started. Actually it's filling very nicely with airplane right now, but we will officially announced the facility in a few weeks. And in regards to Pearson, we are right on track. I visited the facility myself a few weeks ago. We've build a structure. We're closing the one right now and we have a detailed plan to start moving our equipment station-by-station starting sometime next year in the summer or in the fall and the plan is still to have everything moved and open it early in '23.
Chris Murray: All right.
Eric Martel: Early in '24, sorry.
Chris Murray: Yes, okay. Thanks very much.
Eric Martel: Thank you.
Operator: Thank you. Our following question is from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Thanks, good morning. Maybe just a quick, I guess, clarification question for Bart. I'm just wondering if you can sort of indicate what your run rate interest expense is today based on that kind of $4.5 billion in net debt.
Bart Demosky: Yes. Run rate today - so we've got $6.2 billion of gross debt. Our interest rate, average coupon rate on that debt is just under 7.5%. So, the run rate is about $460 million, $465 million, interest expense.
Cameron Doerksen: Okay, perfect.
Bart Demosky: And that's down almost - pleased to say, but that's down almost $300 million from December of 2020. So we're very excited about all that extra cash that is coming back to the business now.
Cameron Doerksen: Yes, absolutely. And maybe just a question for Eric. Just on the, I guess, the backlog composition, I wonder if you can maybe just talk a little bit how it breaks down today between fleet operators versus high net worth individuals versus I guess corporate customers. And maybe more importantly, has anything kind of changed in the last quarter as far as the composition of that backlog or the split?
Eric Martel: Yes. That's a great question. So, it's pretty similar to what we said at Investor Day. So, we're in the zone of about 18% or 20% for fleet operator. And as I said earlier, we are extremely well positioned with these guy and these guys have the capability really to continue growing. So, it's about 20%, I would say, of our backlog and it's around the same number than it was probably earlier this year.
Cameron Doerksen: Okay, perfect. That's very helpful. Thanks very much.
Eric Martel: Thank you.
Bart Demosky: Thanks, Cameron.
Operator: Thank you. Our following question is from David Strauss from Barclays. Please go ahead.
Brad Barton: This is Brad Barton on for David. Good morning. I just want to talk, you talked about your target for 2025 from free cash flow side, but you appear to be progressing well ahead of the target for $7.5 billion in revenue. Can you just talk to that.
Eric Martel: I can certainly do and Bart you can chip in. But clearly we are doing extremely well right now on what we committed we're going to do for 2025. We are ahead on the deleveraging. And I think right now we're in a situation where we have also built backlog, have visibility. So, we are going to be reassessing as we do every year our 2025 and I think that you can expect that probably early next year when we talk about our guidance of course and do Investor Day that we will be providing an update for the 2025 outlook.
Brad Barton: Okay, great. And then just on deliveries for this last quarter, last quarter you said Q3 was going to be flat year-over-year, but came in a little lower versus 2021. So, just what happened there?
Eric Martel: Yes, I think in Q3, the devil's in the detail, we've delivered 25 airplane. If you compare to last year, we delivered 27, but that was with inclusive of for Learjet airplane. So, reality is if you compare apple-with-apple we - for the Challenger and Global total we delivered two more airplane and that was basically what the plan was plus or minus one airplane. We had one airplane at the end of the quarter that we ended up with a financing discussion or something happened and the customer decided to do it differently. But anyway there's nothing to take away from this. Right now we're happy with where we ended up in Q3 and Q4 looks solid and we're looking forward for the quarter. We have a lot of airplane in Q4, but they're all in a good place right now to deliver.
Brad Barton: Great. Thank you.
Eric Martel: Thank you.
Francis Richer de La Fleche: Operator, we're out of time for more questions. So, we will pass it to Eric to make some closing remarks.
Eric Martel: So, I would like to thank you all for joining us today. As you know, we have a very busy fourth quarter ahead of us and we are committed to closing out the year on a high note. I look forward to reconvene with you all in the New Year to discuss what 2003 will bring for Bombardier. I'd also like to take the opportunity to sincerely thank everyone of you on the call who I was able to meet with during the NBA base show a few weeks ago. It's a real pleasure to get to interact in person. It is essentially what business aviation is all about. So, I wish you all safe further travel and a productive close out to 2022. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.